Operator: Good day and thank you for standing by. Welcome to the Q2 2024 8x8 Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kate Patterson. Please go ahead.
Kate Patterson: Thank you. Good afternoon everyone. Today's agenda will include a review of our second quarter results with Samuel Wilson, our Chief Executive Officer; and Kevin Krause, our Chief Financial Officer. Lisa Martin, our Chief Revenue Officer has also joined our call today. Following our prepared remarks, there will be a question-and-answer session. Before we get started, let me remind you that our discussion today includes forward-looking statements about our future financial performance including investments in innovation and our focus on profitability and cash flow as well as statements regarding our business, product, and growth strategies. We caution you not to put undue reliance on these forward-looking statements as they involve risks and uncertainties that may cause actual results to vary materially from forward-looking statements as described in our risk factors in our reports filed with the SEC. Any forward-looking statements made on this call and in the presentation slides reflect our analysis as of today and we have no plans or obligation to update them. Certain financial metrics that will be discussed on this call together with year-over-year comparisons in some cases were not prepared in accordance with US Generally Accepted Accounting Principles or GAAP. A reconciliation of these non-GAAP measures to the closest comparable GAAP measure is provided in our earnings press release and earnings presentation slides which are available on 8x8 Investor Relations website at investors.8x8.com. With that, I'll turn the call over to Sam Wilson.
Samuel Wilson: Much appreciated Kate and thank you to everyone on the call for joining us today. I am pleased to begin my remarks by saying we met or exceeded our guidance ranges for service revenue, total revenue, and non-GAAP operating margin for Q2. When I took over the CEO role, I outlined our innovation-led strategy to drive growth along with improving profitability and cash flow through disciplined capital allocation. We believe this balanced approach is the best way to build a durable business and deliver value to all our stakeholders. That's customers employees partners and shareholders. Our continued progress on this journey was evident in our Q2 results. As a reminder, we are focused on investing in innovation to drive long-term durable growth; leading with contact center and ex-cast for new business and cross-selling our product portfolio into the installed base; focusing on our target customer, small and medium-sized enterprises with the same technology customer experience needs as large enterprises, but without the same internal development resources; and lastly, building and enabling channel and technology partners ecosystem that allows 8x8 platform customer to deliver best-in-class customer experiences, all of this while growing revenues faster than expenses and returning excess cash to investors. Our goal is to grow cash flow from operations by an average of 20% in fiscal year 2024 through fiscal 2026. We intend to return $250 million to investors over this period. We have already returned $25 million through early repayment of principal on our 2027 term loans. Let's take a look at the highlights for our Q2 performance. Service revenue increased sequentially by $2.5 million and was roughly flat year-over-year. Improvement in our CPaaS business was a significant driver of the quarter-on-quarter growth as existing customers increase their business with us and we added new customers. The CPaaS team has done a great job retooling the business over the past year and I'm excited by the new opportunities we have identified, both in the APAC region and worldwide. Now more than ever, I believe our CPaaS business will prove to be a competitive advantage for us. Our UCCC core business continues to perform as expected and we see new products as a bright spot. We demonstrated continued discipline in managing our operating costs, which allowed us to deliver non-GAAP operating profit above our guidance range. Cash from operations for the quarter was $17.5 million, and cash and investments increased to approximately $150 million. We have doubled cash from operations in the first six months of the fiscal year compared to last year. Customer satisfaction and retention remained high within the 8x8 customer base, reflecting the investments we made in our customer success organization as well as continued innovation in our solutions. This is reflected in the feedback we received from the thousands of customers who participate in our first ever 8x8 Day on August 8, as well as the recent recognition from numerous industry organizations. To celebrate the first 8x8 Day, we ask customers what they loved about 8x8 and after we could publish their response. As a thank you, we sent them what's cooking at 8x8, an e-book of employee recipes and case studies from our food and beverage customers. A few lucky winners also received e-bikes from our customer track who we love. The volume and enthusiasm of the responses tell us the investments we are making in innovation and customer success are resonating. Check out the videos on the website. Adoption of our recently introduced CCaaS product portfolio continues to accelerate. Early adopters of our AI-powered intelligent customer assistant, both digital and voice versions, are seeing increase of case deflection for specific use cases. Customers are rapidly finding new use cases. The volume of conversations is up over 50% quarter-on-quarter and accelerating. Our ICA pipeline is up over triple-digits quarter-on-quarter. We saw significant growth in our North American reseller channel. We are committed to a channel first strategy and been investing in building out our network of value-added resellers. We have built a strong value-added reseller channel in the UK. And while it takes time and investment to build, it pays long-term dividends in sales productivity, customer satisfaction and durable growth. Partially offsetting these early indications of success was continued downsell and to a lesser extent attrition in the Fuze customer base. This created a headwind in our enterprise ARR metrics and the customer count. As we've said before, we are 100% committed to retaining Fuze customers. The number of lost Fuze customers decreased significantly measured by logos quarter-on-quarter and we are accelerating the pace of customer upgrades on the 8x8 platform. Our progress this quarter gives me confidence that our strategy is working. We deliver value to our customers by enabling agile workplaces, empowering users across an organization to deliver great customer experiences and harnessing the power of AI and machine learning. We have dramatically increased our investment in innovation over the past two years and the products and features resulting from those investments are now coming to market. Customer interest has been high and we are seeing increasing adoption and use. Let me share a few examples of our innovation and action at our customers. First off, Westminster City Council, who has been an 8x8 voice and contact center customer since 2020. We recently introduced ICA as part of their user-centered operating model. They are regularly achieving 80% resolution rates on inbound inquiries and in some days as high as 100%. I encourage you to watch the view of their experience, there is a link in the slides. Next up is Acer, a top technology company with customers in 160 countries. They are using our intelligent customer assistant to expedite customer assistants with millions of products including warranty information. I have spoken personally to them and they told me ICA was a game changer. Our superpower is empowering users and administrators in these organizations with best-in-breed capabilities including AI-powered apps, intuitive interfaces and ultra-high reliability in a wrapper of extreme simplicity. Our goal is to make our users superheroes of their own organizations. CPaaS innovations further extend our UCaaS and CCaaS portfolios. We recently introduced Remote Fix, a prepackaged second-generation video escalation solution targeting field service organizations. We also introduced Omni Shield to our CPaaS customers, safeguarding enterprises from fraudulent SMS activity and a host of other enhancements outlined in our press release last week. Our strategy is to be a leading AI-powered customer experience platform for small and medium enterprises. The quotes from all the customers profiled in our earnings slides demonstrate our progress in this strategy. They love 8x8 solutions for ease of use, simple deployment and deep native like integrations into the contact center. Our customers see tangible business benefits from our products every day. When I look back, I'm amazed at how many innovations we have introduced in a very short time period. The list of significant product introduction enhancements include; conversational IQ for UCaaS, bringing CC level, speech analytics to UCaaS, integration of open AI's Whisper for transcription and translation. We launched this within weeks of ChatGPT's unveiling and are now transcribing more than 3 million hours a month with a 20% to 25% improved accuracy versus previous solutions. Composable user experiences empowering agents and supervisors with the information they need to be more productive powerful, user-friendly AI-enabled self-service capabilities in both voice and digital. Expansion of our omnichannel capabilities including embedded secure video and enhancements in SMS and chat apps; an updated version of Microsoft Teams phone app as well as deeper native integration with teams that simplify administration and ease of use and so much more. We are pushing out hundreds of micro updates every week using our automated CICD process, adding incremental capabilities and improving performance. Before the end of the fiscal year, we plan to introduce a host of additional products into beta. Just a few big ones are AI-powered interaction summarization and conversation categorization; a next-generation version of our AI-powered agent assist through our ecosystem partnerships and expanded contact center features for employees outside the contact center that will continue to blur the lines between UC and CC. Our CCaaS and UCaaS solutions have come a long way in the last 18 months. And this is reflected in the recent recognition from both industry analysts and customers. As I have traveled around the world talking with customers and partners, innovation roadshows in the US and Europe, I have come to the conclusion that our biggest challenge is awareness. It is clear that our velocity of our new product introductions has outpaced our customers and partners' awareness of our phenomenal innovation. Solving this issue and overcoming outdated perceptions of our solution is a multifaceted challenge. We must do a better job of keeping our customers informed, educating our channel, increasing our visibility and creating word of mouth references. We have barely scratched the surface of the opportunity that exists within our installed base, let alone the tens of thousands of small- and medium-sized enterprises SLED organizations and public sector entities that are just beginning to migrate their contact centers to the cloud. Lisa Martin, who joined four months ago as our Chief Revenue Officer, is up to the challenge. She is joined by Bruno Bertini. who recently joined us as CMO. Lisa and Bruno both have extensive experience in the contact center, and have a track record of building high-performance teams in sales and marketing. They've worked together in the past, are fully aligned and are already having an impact within the organization. Transitions don't happen overnight, but I am confident we now have the right team in place, the right strategy for growth, and the financial and technical resources necessary to achieve our goals. I've asked Lisa to join us on the call today, to talk about her vision and priorities as she and Bruno build a world-class go-to-market engine. Take it away, Lisa.
Lisa Martin: Thank you for that nice introduction, Sam and for inviting me to speak on today's call. I'm thrilled to be at 8x8. In fact, I accepted this role because I see tremendous opportunity for 8x8 as the UCaaS and CCaaS market continue to evolve. I have spent the majority of my career, focused on customer engagement solutions, the past two years at Twilio and prior to that a number of years at both Genesis and Verizon, leading high-performing sales organizations as the customer experience and communications industries have dramatically changed. In well over a decade of sales leadership, I've learned to appreciate how important strong and well-defined go-to-market motions are to successful sales organization, and how critical it is to align those motions with the buyer journey. I have spent the first few months at 8x8 doing a deep dive into really understanding current sales processes, the channel strategy and marketing motions to figure out what was holding us back from better sales performance. We are transforming our organization as our go-to-market motions, migrate from UC led to contact center led, and from a single product focus to a portfolio of products. I am focused on optimizing sales operations and enablement, building the processes playbooks and packages that make it easier for our customers to do business with us, and for our business development team salespeople and partners to position and sell our solutions. My go-to-market partner, our new Chief Marketing Officer, Bruno Bertini, will focus on lead generation and overall brand visibility and awareness in the CCaaS market. We are 100% aligned on our priorities. With the recent innovations introduced in last year, we can effectively compete head-to-head in the CCaaS market, with or without the incredibly strong foundation of our market-leading UCaaS solution. And the timing is right. I believe the market is at an inflection point, and the adoption of AI will continue to drive migration to the cloud because of the benefits companies can realize. The fact is 8x8's portfolio offers the flexibility and innovative technologies, for small and medium enterprise companies to optimize, customer and employee experiences. I could not be more excited for our future, from my due diligence during the interview process, and my first few months here, I'm extremely confident that there is tremendous potential for 8x8. We have great product market fit. We have strong leaders in our regions and we have the cross-functional collaboration and support that is crucial to any successful revenue organization. I will now turn it over to Kevin for his review of our financial performance. Thank you.
Kevin Kraus: Thank you, Lisa, and good afternoon, everyone. Our Q2 performance exceeded expectations in several key areas, as we delivered service revenue and total revenue above our guidance midpoint. We continued the trend of delivering solid bottom line profitability as we achieved 12.8% non-GAAP operating margin, well above the high end of our guidance range. Year-over-year non-GAAP operating profit grew 162% and cash flow from operations increased 26% versus the prior year. We have delivered positive non-GAAP operating income and cash flow from operations for 11 consecutive quarters, and we plan to continue generating positive cash from operations and operating margin as we build momentum. Total revenue for the quarter was $185 million and service revenue was $177.8 million exceeding the midpoint of our guidance range by $2.3 million. Our service revenue performance reflected better-than-expected usage activity for our CPaaS business in the Asia Pacific region as well as contribution from new products. This quarter, we recorded year-over-year growth in CPaaS revenue for the first time in many quarters. Other revenue for the quarter was $7.2 million slightly below the prior quarter and generally in line with expectations. Total ARR was $707 million at quarter end up 2% year-over-year. Enterprise customers accounted for 58% of total ARR consistent with the prior quarter and prior year. Enterprise ARR was up approximately $3 million sequentially and grew 1% year-over-year. We ended the quarter with approximately 1,250 enterprise customers. The number of enterprise customers was impacted by approximately 50 customers moving from enterprise to mid-market as we saw some effects from the current economic environment. Turning to gross margin, operating expenses and operating profit. Please remember that, all items discussed are non-GAAP unless otherwise noted. Overall, second quarter gross margin was 71.5% an increase of 140 basis points year-over-year. Q2 '24 gross profit dollars grew approximately 1% year-over-year higher than overall revenue growth as we continue to focus on profitability. Service revenue gross margin came in at 74.6% up 50 basis points year-over-year. We continuously manage our COGS and expect service revenue gross margins to remain healthy. Other revenue gross margin came in at negative 3.5% for the quarter, compared to negative 11.2% in Q2 2023. The timing of hardware shipments and professional services deployments impacted other revenue which in turn impacted the gross margin on other revenue in the quarter. Turning to operating expenses. R&D was 15.2% of revenue in line with our 15% target and indicative of the continued investment we are making in product innovation. As we mentioned on our previous earnings call, we expect that our investment in R&D will generate a desirable return on investment, but this will take time as we build world-class software generate awareness and close deals. Sales and marketing expense was 33.1% of revenue slightly up from 32.8% in Q1, but well below the 37.4% of revenue in Q2 '23. Sales and marketing expenses were down year-over-year as we have realigned our resources to focus on our target customers. G&A as a percentage of revenue was 10.4% and down 50 basis points sequentially as we incurred lower compensation employer taxes and benefits costs. Total non-GAAP spending as measured by cost of goods sold plus R&D, plus sales and marketing, plus G&A was down approximately $17 million or nearly 10% year-over-year and reflects our strategic cost realignment actions taken in the prior fiscal year. Keep in mind that fiscal Q2 also included annual pay increases for our global employee population. At this point, we believe our overall cost structure is appropriate to drive our strategy. The combination of improved revenue and carefully managed operating expenses resulted in non-GAAP operating profit of $23.8 million, up approximately 160% year-over-year. Adjusted EBITDA which is reconciled to GAAP results in our Q2 24 press release was $30.5 million, 16.5% of revenue and up 75% year-over-year. We have generated over $120 million of adjusted EBITDA over the past four quarters. Cash flow from operations was $17.5 million for the quarter driven by strong profitability and solid cash collections, partially offset by cash interest paid of $12.9 million. Given that cash flow can vary quarter-to-quarter due to the timing of interest payments collections and changes in other balance sheet items, I prefer to look at rolling four quarters cash flow when I evaluate our performance. Over the last four quarters, we have generated approximately $73 million in cash flow from operations, an increase of 62% compared to the comparable trailing 12-month period ending September 30, 2022. We are very pleased with our financial performance so far this year. We ended the quarter with approximately $150 million in cash restricted cash and investments, up approximately $11 million from the prior quarter. As we have said on prior calls, our plan remains to return $250 million to our investors from fiscal 2024 through fiscal 2026. Our next step in that plan will be to repay the remaining $63 million of the 2024 convertible notes using cash generated entirely from our operations. As we move into fiscal 2025, we intend to begin repaying the adjustable rate term loan as quickly as possible, which will have a significant and immediate impact on our operating cash flow by reducing our cash interest payments. You can expect us to begin voluntarily early repayment of principal immediately after the expiration of the prepayment penalty in August 2024. Remaining performance obligation or RPO was approximately $780 million for the quarter, increasing $65 million year-over-year on healthy multiyear customer commitments. Before turning to guidance, I want to recap what we are doing as a company to build shareholder value over time. First, we are investing in innovation with a goal to drive long-term durable growth. Second, we are focused on leading with our CCAP solutions to our target small and medium enterprise customers. Third, we are reducing the mix of equity-based compensation which will moderate the pace of new share issuances due to employee stock programs over the long term. And fourth, we are focused on growing revenue faster than expenses leading to increased profitability and cash flow. Increasing cash flow from operations, while reducing shareholder dilution is our financial North Star and we are very focused on driving improvement in those metrics over the long-term as the best way to build shareholder value over time. For operating expenses, let me walk you through how our strategies to build shareholder value over time drive our expense structure. We expect sales and marketing to be in the range of 33% to 34% of revenue for fiscal 2024, down from 36% in fiscal 2023, as we focus our go-to-market motions on our target small to medium enterprise customers and cross-selling into our installed base. I believe this cost envelope can accommodate programs to drive awareness of our innovations as well as incremental investments to develop our value-added reseller channel in North America. We expect R&D as a percentage of revenue to remain about 15%, as we continue on the path of investment in our customer-focused product strategy. Finally, we expect G&A expense to remain at approximately 11% of revenue for fiscal 2024, and we believe we can achieve leverage from our G&A functions over time as revenue increases and we achieve greater efficiencies through automation. However, in the near term our expectation is for G&A to remain in the range of 10% to 11% of revenue as we absorb the increases in cash payroll expenses and investments in automation. Regarding non-GAAP gross margin, we anticipate the second half of the fiscal year to be similar to the first half year average of 72% and note that this metric can be influenced by product mix. With this framework in mind, we reiterate our fiscal year revenue and operating margin guidance ranges and establish outlook ranges for the third quarter of fiscal 2024 ending December 31, 2023 as follows. For the third quarter, we anticipate service revenue to be in the range of $173 million to $178 million. We anticipate total revenue to be in the range of $180 million to $186 million. We are targeting an operating margin between 11% and 12%. We expect cash flow from operations to decline sequentially, but remain over $10 million. We anticipate interest expense of approximately $9 million and cash interest payments of approximately $7 million. Note that interest expenses can change as our term loan is subject to monthly interest rate adjustments. We estimate a fully diluted share count of approximately 125 million shares. We are reiterating guidance for fiscal 2024 ending March 31, 2024. As a reminder, the ranges were service revenue in the range of $701 million to $711 million. We anticipate total revenue to be in the range of $732.5 million to $742.5 million. Please note that other revenue can vary based on customer-specific deployment schedules and hardware shipments, so there could be some movement in the Q4 2024 other revenue as a result of these dynamics. We continue to focus on delivering a solid operating margin and anticipate achieving between 12% and 13% for the year versus the 8.4% achieved in fiscal 2023. We expect cash flow from operations to be directionally aligned with the non-GAAP operating margin trend subject to timing differences in collections debt interest and other payables. We anticipate debt interest expense and cash paid for debt interest of $35 million to $36 million again noting that our term loan is subject to monthly interest rate adjustments which have been increasing in recent quarters. We estimate an average fully diluted share count of approximately 123 million shares for fiscal 2024. In closing, I believe that our continued focus on profitability and cash flow from operations is the correct financial strategy for us at this time. This approach will enable us to continue making targeted investments in innovation and growth, while we return value to our investors primarily through debt prepayments. Fiscal 2024 is a period of transition and our goal is to show some revenue reacceleration in fiscal 2025. I would like to thank the entire 8x8 team for working together to deliver this quarter's solid results and I look forward to the continued execution of our strategy as we move forward in our quest to become an innovation-led growth company. Operator, we are ready for questions.
Operator:
Operator: Thank you. [Operator Instructions] Our first question comes from Meta Marshall with Morgan Stanley.
Meta Marshall: Great. Thanks. And thanks for all the additional disclosure. It's very helpful. Sam in the past you've kind of talked pretty openly about where there are opportunities in contact center with AI and where some of those are likely just given the amount of investment in the space to kind of reduce the opportunity. As you kind of build out that portfolio and start utilizing your own services in some of these third-party services? Just kind of how has that view evolved? And just kind of how do you view the gross margin opportunity with some of the CCaaS products? Thanks.
Samuel Wilson: All right. So how is it view -- it's hard for me to answer this with a flat out quick soundbite answer. Because the number one thing I see over and over again is that partners and prospects and customers don't even know our full range of capabilities at 8x8 as we've brought things like intelligent customer interaction video -- touch customer assistant video interaction 2.0 and everything to market. We have a gap. I would say just relative to what your question is the first I hear is there's the day-to-day of a contact center manager trying to put an AI product into production, have it feel native to his contact center, have it fully integrated, have a way to have it work well inside the contact center and the hype that CNN or whatever CNBC puts out about how AI is going to revolutionize the world. And so we are very much on the pragmatic side. We're seeing very rapid adoption of our AI-based intelligent customer assistant voice and digital versions. Because those are fully integrated into the contact center they work really flawlessly and seamlessly and it's just sort of straightforward and easy to put into production. We've got agent assist available. We've got a new kind of a next-generation version of agent assist that we're working on right now. So those are all things that I think are very practical, very easy to put into the contact center show immediate agent productivity case deflection benefits those kinds of things. What was the second part of question?
Lisa Martin: She wanted to know about CCaaS.
Samuel Wilson: CCaaS, gross margins.
Lisa Martin: CCaaS. Yes.
Samuel Wilson: CCaaS, effect of gross margins. Look what we see really clearly is as we start to sell a portfolio of products to a customer, our retention rates go up and our revenue ability to generate from a given customer goes up. And so when that happens, our gross margins have a tendency to trend higher but it can also be offset by seasonality of the CPaaS business and everything else. And so the underlying trends is contact center is a more margin-rich landscape for us as a business. And so there's upward ability to grow margins but it's always in the overall product mix of the company.
Meta Marshall: Great. Thanks.
Operator: Our next question comes from Ryan MacWilliams with Barclays. Your line is open.
Ryan MacWilliams: Thanks for taking the question. I think your SMB ARR definitely held up better than it might have expected. This is a tough environment. But Sam maybe just on the macro overall, how do you think 8x8 fared during the quarter? And like do you see any changes throughout the quarter, and how has October been so far? Thanks.
Samuel Wilson: Well, I'll just make it general about macro. So I think last quarter was a tougher quarter for macro. We definitely are starting to see the bite of the increasing interest rates and change in economic environment overall. I mean, there's the natural places you would see at credit card default rates a little bit more downsell pressure on renewals where customers -- if they're at 100 seats before 97 seats at renewal those kinds of things. I think we see a little bit more of that. It does make us a little bit more cautious in terms of our forward guidance and expectations. And just to be clear relating it back to the company. I don't think October is any different than the rest of the quarter. The last place we saw and I just, sort of, just give you a sense of I looked on the story is we set a DocuSign out to close the deal at the end of the quarter. And I think originally it had four signatures on it from the customer. And by the time we went back and forth a couple more times, we ended up with 10 customer signatures required to get the deal done. Now we got the deal done. But that's when people ask me like what does the economic slowdown look like? It's the customer requiring 10 people to sign it, including that one person who's on vacation in whatever the PokéNav [ph] today, and we had to track that person now and get on the side on their phone. But that's what an economic slowdown looks like.
Ryan MacWilliams: And you kind of front ran my weekend plans because I will be heading to the PokéNav. So fair enough. And look you guys have done a lot to get ahead of refinancing your debt and you've significantly improved the cost structure of your business over the last year. And I appreciate the information slide deck and Kevin's prepared remarks just on your capital structure. But I think, it might be worthwhile and helpful for folks. Just if you can walk through like the high level of plan of attack on how to address or your thoughts on like addressing the capital structure over the next few years?
Samuel Wilson: Yeah. And I can wrap in the SMB comments also. So look I mean Kevin was really clear. And last quarter we put out a financial North Star. So our financial North Star is cash from operations per share because of SEC rules we obviously can't guide to that number, but that's how we think about the company. We want to use that cash from operations that we generate to return money to investors and that's primarily through debt repayments because that just makes the most logical sense. And then eventually if we pay off a majority of the debt or path all the debt we'll start with stock repurchases. I mean that would be the next logical step to do with some future point, especially with our valuation at bumbling levels. And so I think the key there -- it's all about capital allocation. We're cash flow positive business. We continue to generate very solid levels of cash. We're going to use that cash to strengthen our balance sheet first and then continue to invest in growth second. You also said something earlier about SMB held up particularly well given the macroeconomic environment. And I think a lot of that has been that we've restructured some things down there. We've got it running more -- look the comps are easier. I'm not a fool. But the comps are easier. We've also got it restructured. We've got the right people, in the right seats, doing the right things. And we care a lot about customers there. And so, we're seeing some benefit from that and some efficiency improvement.
Ryan MacWilliams: I appreciate the color. Thanks guys.
Operator: Thank you. Our next question comes from Catharine Trebnick with Rosenblatt. Your line is open.
Catharine Trebnick: Oh. Thank you very much. Yeah. Hey Sam nice job, so two things. One, can you parse the difference between your traditional channel partner and your Microsoft Elevate program? And how are each one helping you, layer in the new products for growth? Thank you.
Samuel Wilson: Okay. So the biggest difference -- I mean, so Elevate is the name of our channel program overall and actually encapsulates TSDH [ph] and VAR et cetera. It's just the general name of our program. The big difference between the Microsoft partners so these are traditional Microsoft VARs. And so they're best known for selling Office 365 and Exchange and Azure and those kinds of things. But with the rise in Teams, we obviously have a presence there. And so we've gone out over the last couple of years and recruited Microsoft partners to resell our products in that space. I think it's very successful because we view Microsoft as a strong partnership. And I think Microsoft and I don't want to speak for them, but at least from what I hear from them is they view us as a strong partner. We don't view each other as competitors. We think we enable Microsoft teams' deployment in the enterprise. And we can do great things for it. And we embrace it. And I'm sort of a big fan of Microsoft teams. And so for that it was just a matter of going out and getting partners, that when they're selling teams know that we have a great direct routing solution. Stay tuned on the operator Connect side. But there's, lots of great things to talk about on that. And since Lisa is here, Lisa anything you care to add on Microsoft and the partnership?
Lisa Martin: No. I mean, I think you covered it Sam. I would also just add the Elevate program in general really drives loyalty and rewards our partners for working with us whether that's our solution or jointly with Microsoft.
Catharine Trebnick: All right. Thanks.
Samuel Wilson: Thanks Catharine.
Operator: Our next question comes from Josh Nichols with B. Riley. Your line is open.
Josh Nichols: My question great to see the company coming in above the guidance range pretty much across the board with good cash flow. So I think most of the questions have been hit on at this point. One thing I did want to touch on a little bit is, I know longer term you've talked about one seeing some more revenue growth acceleration next year and maybe ultimately getting back to somewhere around like 10% growth longer term as some of these AI and ML investments come to fruition. Like what's the timing on potentially monetizing that? And how are you approaching it differently whereas you're not really competing with hyperscalers relative to some of the peers and what makes you kind of unique in that factor.
Samuel Wilson: I appreciate it Josh. I laughed, as you were saying that, because whatever answer I'm about to give you know in my heart, I'd like it to happen faster. But I just have to be realistic, right? So I think that you're asking a great question. And the question is really around, we are changing fundamentally. We're transforming as a company. And we're being innovation led. And the place you see that the most is today we can sell eight products to a customer. And just a couple of years ago we sold two. We sold UC & CC. And unlike some of our competitors they fundamentally sell one UC, we can sell eight UC CC, ICA digital, ICA Voice, Workforce Management and on Professional Services, CPaaS and SecurePay. And so what -- now the question we're doing is we're restructuring our go-to-market motions around becoming that portfolio sale. As we sell more of the portfolio to a given customer, we see higher retention rates and higher ARPU, higher stuff. Some of these are usage-based and I don't want to get into all the sort of minutia details. The timing behind that is a lot of the products are in beta or exiting beta now. So, we saw -- as I mentioned on my prepared remarks, we saw for example in ICA the number of interactions doubled 50% quarter-on-quarter and accelerate on a month-on-month basis throughout the quarter as we're starting to expand out the number of customers. And the number of customers in the pipeline is up triple-digits, a couple of hundred percent quarter-on-quarter as that moves to GA. And so I think we'll start to see -- but we see it internally the question, you're really asking is when will it be on the income statement? I think later this fiscal year early next year I'm hoping, knock on wood, it will be big enough that you'll see it in the income statement as moving the needle and starting to drive that reacceleration.
Kevin Kraus: And I think the important thing here is that we're really getting a positive response from the customers who are using some of these products in beta today. And it's really, really great to see the traction that we're developing internally starting out with small numbers, but the acceleration of this can be significant and the sooner the better.
Samuel Wilson: Okay. Your second question is great which is like how am I not competing with the hyperscalers. So, what we've done is we've built a platform that allows a series of integration -- native like feeling integrations with this host of next-generation start-ups. And you're seeing these start-ups that are raising. I mean it's now has to raise $250 million rounds or $500 million rounds on these next-generation technologies, but they need a contact center to work on. They need a contact center workflow to ride on top of. And we've developed and we've reengineered our platform over the last three, four years to enable those next-generation technologies to ride on top of our platform. This is very much different than most of our competitors in the contact center space who haven't reengineered their technology stack and therefore, mainly forced to fight a native battle, which means they buy companies, they hardwire in the integration, and they basically have to use their in-house solution. For example we offer three or four different agent assist platforms and we can offer a few more that are coming shortly. We offer our chatbot ICA, which is based on Cognigy, but we also have customers running Balto and Awake and others that are phenomenally successful. And so what's that enabling us is that we're not competing with those companies they all want to partner with us. Lisa anything you had to add?
Lisa Martin: I mean I think what these partners allow us to do is really continue to blur the lines between customer and employee engagement with those native integrations. And that really gives the end customer the right toolkit to be able to deliver that experience.
Samuel Wilson: Yes. I think right now we as a company can handle or a set than just about anybody out there with our ecosystem. Thanks Josh.
Operator: Our next question comes from George Sutton with Craig-Hallum. Your line is open.
George Sutton: Thank you. Sam I wondered if you could walk through the math of the -- or the thought process of the push and pull between this $250 million return to shareholders, which is great, against the potential for growth investments. How are you kind of driving that line?
Samuel Wilson: Yes. So, let me tackle a couple of these things. So, first off, to investors not to shareholders we all share buyback and my lawyers always like me to say that the bondholders are not considered shareholders. So, I have to correct that because I'll get a nasty gram from my GC. Look the push and pull, it's a fair comment. I think I would invest more in growth after we get our GTM engine sort of retooled for our next generation of portfolio selling. That's why I always leave the optionality out there. Now look, I think I want to strengthen the balance sheet. So I want to get rid of term loans, that's the $250 million. We get that taken care of plus the 63 and 24 and we'll be like financially well set. We want to have a lot of interest costs those kinds of things. But really to me it's about retooling the GTM then spending more. We have enough money and we're generating enough operating income that if we see an investment opportunity with a very high ROIC, we'll go after it. We have margin room to play with. It's not like our backs against the wall. And so right now, we're more focused on putting the incremental dollar into reaccelerating growth in the company and just maintaining margins generally where they're at plus/minus, depending on timing and a bunch of other things, trade shows and all those things that drive op margins in any particular quarter. But really it's continued to strengthen the balance sheet, continue to strengthen the company overall and reaccelerate growth as quickly as possible. I don't think an incremental dollar right now in sales and marketing is the right play. As soon as it is the right play we'll happily make that investment.
Kevin Kraus: And just to restate we are and continue to be investing in innovation. So, that investment is going 15% of revenue is our target. So we continue to do that because we believe it's going to result in fantastic products that are attractive in the market. So that investment is going to continue.
George Sutton: As a follow-up on the contact center a couple of your large competitors have come out and talked about disruptive pricing with relatively new platforms. I think what I'm hearing from you is given your way of having built the platform you really don't compete directly because you're offering a lot of things that none of them have really even contemplated. Is that -- am I hearing that correctly?
Samuel Wilson: I think that's absolutely true. And a lot of the disruptive pricing models aren't nearly as disruptive. I mean the one that comes to mind is the one that's interaction-based. And anybody with like a calculator, leaving a basic calculator can quickly figure out that an interaction-based system and an average contact center cost you more than buying a per seat. So it's great from a marketing billboard perspective but it's actually not going to win that much business once anybody gets a calculator out.
George Sutton: That’s it. Thanks guys.. 
Samuel Wilson: George.
Operator: Our next question comes from Michael Turrin with Wells Fargo. Your line is open. 
Michael Berg: Hi this is Michael Berg on for Michael Turrin. Just going back to the contact center space. Just be curious there on overall progress and pricing trends as you incorporate more and more AI into this? Any feedback there would be helpful. Thank you.
Samuel Wilson: I mean I would say on average I mean it's hard to tease it out completely. But like when we sell a portfolio of products, we see the dollars of revenue that we generate from a customer go up. Now part of that is a mix of seat plus usage or C plus consumption based. Because like we said when you have a bot, you can't charge a seat bot or bot per seat. I don't know exactly how the math -- the English should work because it's not a user. You charge based on the interactions and so it's a little different. I think one of the things and I'm going to expand your question slightly. One of the things that people talk a lot about is oh my goodness. AI is going to put the contact center out of business completely false. I think us completely false for at least until I am 40 years retired. What we see today is when we deploy our next-generation technologies, we get more productive agents. Maybe we get one agent or two agents less than a 250-seat contact center. But what we see generally is attrition rates which 40% and 50% go down, the actual hourly paid to agents goes up because they're adding more value. And the rote parts of their jobs go away and the value-added parts of their jobs increase. And so I'm super bullish on AI making contact center jobs substantially better. Last year based on Bureau of Labor Statistics data, the average contact center work in the United States made $18.31 an hour, which is about 30% less below the median wage of an hourly employee. Corporate America is waking up that you can't have your lowest priced employees the ones dealing with your customers, if you want customer loyalty. And that's what AI is enabling a change too. We can have more productive contact center agents that we pay more to that offer better customer experiences that improve reorder and renewal rates across industries. And I think that's the magic that's happening.
Michael Berg: Got it. Thank you.
Operator: Our next question comes from Peter Levine with Evercore. Your line is open.
Peter Levine: Great. Thanks for squeezing me here. Maybe just one for Lisa. Your experience Twilio, Genesys. So I guess you've been in the role for a couple of months. Explain to us from a higher level, where do you see the opportunity? What are your priorities? And if you can share like what are some of the changes? Or I think anything on the technology to a market that you're implementing today, where you think will have a change to this business over the next call it 12 months?
Lisa Martin: Yes. Thank you for that question. I think the first thing I would go back to is what I mentioned earlier, which is the way that our portfolio of products really starts to blur the lines between customer and employee engagement. And what that really allows companies to do, which is to use the insights and the analytics that we give them to drive the right business outcome. And I think we're really uniquely positioned to capture that. I think when I look at the organization that I've come into, we were very much tooled to focus on the UC positioning in the marketplace. And the contact center discussion was not front and center. And what I'm doing is building out the organization from a skill set perspective, from a tools and sales motion perspective, so that we are coming to the customers with the right use cases to drive the right business outcome. And that is number one my focus. So there's a lot of enablement going on within my organization. We're looking at the tools that we use, the insights that we're able to provide, our teams in terms of the accounts they're working with and making sure that we're able to capitalize on that.
Peter Levine: And then maybe just a follow-up. You mentioned within the Fuze customer base you saw I think more downsells attrition. Is that something that popped up this quarter? Or any color you can provide on when you think that kind of trough out here?
Samuel Wilson: Yes. We talked about it last quarter. So far Fuze has performed better than our original financial model. And we had double industry churn rates in the first year and then we expect it to moderate. In the first year it was substantially better than we expected but the second year has been slightly worse than we expected. What we've seen is a little bit of – I think last quarter is probably the worst. It got a little bit better this quarter in the sense that we saw a quarter-on-quarter significant improvement in the number of logo churn. We're still dealing with a little bit of rightsizing, especially as we upgrade the customers to 8x8. I think it will get better next quarter and the quarter after. What we are seeing really clearly is we've accelerated our move of moving Fuze customers to 8x8 and the CSAT scores when they get to 8x8 are awesome. I'm super happy. The customer satisfaction once they're on the AI platform, is outstanding and the renewal rates are high once they're only made. So we see to accelerate it kind of get through the bubble – thinking of sort of self-inflicted gunshot wound that we had around it. I think probably the worst quarter was last quarter. We saw a little bit slight improvement this quarter and I’m not – we’re  hopeful it will be a little bit better next quarter.
Peter Levine: Thanks for the color. 
Operator: Our next question comes from Michael Funk with Bank of America. Your line is open 
Michael Funk: Hey, guys. Thank you for the question. So first on general Contact Center Health do you have any comments on agent hiring maybe that you're able to see during the quarter and usage trends as well. And if you do have any color, how did that trend during October heading into the holidays.
Samuel Wilson: It's a good question. I mean Lisa, you can chime up here anytime you want. I mean look what we're seeing is the normal purchase of bursting seats, by our retail customers. So the seasonality the normal activities that you would expect to see by the retail customers of adding agents in September and October getting them trained. I don't think -- I mean I think that's happening. In general, I still see more onshoring than offshoring. I still see the trend of bringing contact centers back from developing countries back onshore to drive higher CSAT scores and higher NPS scores to drive renewal and retention rates, those kinds of things. So I think underlying -- I don't know
Lisa Martin: Yes. I think the other thing that I would add in terms of our retail customer base is that, they're really looking to get more out of the folks who are front and center with their end consumer and giving them the tools to be more effective. So, I think what we're seeing more is the interest in wanting to give someone who's in its retail store location, access to the same insights and tools that's someone who does sit in a contact center, so that they're able to serve that consumer just like the person would in that contact center.
Samuel Wilson: I think the other thing, is on as Lisa said, that kind of occur to me, is look it's a little hard for us. Like we've never been the world's biggest player in contact center, right? There's others. And so what we see is a lot of our customers especially, when we launched this host of new products, mean I'm utterly surprised by the -- just the sheer volume and wonderfulness of the products we're launching right now, kind of sure our customers are just happy with us right now ,when they get these new products in their hands and they get to play with them and see what the capabilities are.
Michael Funk: That was great color. Thank you, guys. One more Sam, if I could. I'm trying to parse your comments on Fuze. I think you said that churn had risen to about 2x the industry average. I think you mentioned this last quarter, you saw the highest level of pressure on the business. So just trying to map that to when Fuze may no longer be a headwind to the business. So, if I take that math in my head, is it fair to assume that at the earliest second half of next year, we're back in line with industry type churn, migrations are progressing and the Fuze business is no longer a headwind. Is that the right way to think about timing for that?
Samuel Wilson: I'm trying to do to my head, hard to say. I mean the second half of next year, I and Walter are going to have a bit of a discussion. I want it faster. Look, I think we've sort of peaked in the worstness. The question is how fast can, we get it better. We're very -- we've got a triple-digit number of migrations underway – sorry, upgrades underway right now. And so I think like the basis -- the basics are happening. I think we're past the worst  The question really is the top 400 customers -- and they're a little bit of each one is a little bit of a snowflake. And it's hard for me to nail down the timing, when we'll get them all moved over and it will no longer be a thing, we ever mentioned again, right? Everybody will be on the 8x8 platform. I'm hoping in the next few years, I'm not going to force that top 400 to move over. I think what's also interesting is, we are starting to see more cross-sell opportunities in that top 400. So it's a balancing act right now. I don't know, if I can answer for you, if I am honest.
Michael Funk: Got it. One more quick one, if I could. Renewals have been top of mind. A lot of companies talking about seat contraction at renewal contact center you see how are your renewals looking for fourth quarter this year and then beginning of next year? Is there any kind of tagging the python to worry about?
Samuel Wilson: No, there's no stake in the python to worry about -- we have seen as asked earlier a little bit about economic pictures and I'm seeing Michael. What I've seen is a little bit of downsell pressure not so much on the logo side, but a little on the downward on the downsell side 100 seats becomes 97 seats, because they've shrunk their play. What's interesting is we'll usually pick that up a year or two later as a run rate order at the Flex Black up. So I would say look it's not it's a little worse than it was a quarter ago, but it's not meaningful.
Michael Funk: Okay. Great. Thank you all for the time, really appreciate it.
Samuel Wilson: Thank you.
Operator: Our next question comes from Ryan Koontz with Needham & Company. Your line is open.
Ryan Koontz: Thanks for the question. Really nice job on the cash flow obviously here. I ask you about the geographic theaters and any comments you could make either that around your customer segment Sam it seems like the malaise is kind of broad-based and as you've kind of retooled your go-to-market machine. But any kind of color you can share across the theaters be your strength in UK or APAC or across the different US segments would be helpful. Thanks.
Samuel Wilson: Well, I mean, look I'd be remiss in not starting with the basics like CPaaS killed it in Southeast Asia. They had a great quarter. The changes we've made over the last six to nine months really started to kick in. Their pipeline activity is up. The revenue produced was up. It was a great quarter in CPaaS and there's a lot of room to run there. We have to get all the ducks lined up to make that show up in the income statement, but there's a lot of potential and activity there. So that would be first and foremost. I think secondly, we are retooling our go-to-market but there are a lot of green shoots around our new products and the uptick in customer activity and the reference ability of coming out of beta the raw number of customers that are interested in our new products those kinds of things the pipeline activities et cetera big plus. Definitely, with sort of a bent on airlines retail public sector in the UK. You obviously mentioned Westminster those kinds of things. Those are logical places for chatbots and those high-velocity common questions get answered over and over again. I think third is we saw a sizable improvement in pipeline in our North American value-added resellers or VAR community. We've been making more investments in that space as I'm sure a number of your channel checks show that we've been investing more in the VAR side of the business than the TSD agent side of the business. And we're seeing some sizable pipeline increases there and I think that's a pretty sizable benefit. And then in terms of verticals anything -- I mean, we've had good last quarter or two in health care want to...
Lisa Martin: Yeah. I think health care field services. Field services is a great one where anyone rolls a truck or has someone like a car towing all those types of things have really been resonating with the video APIs that we've introduced as well.
Samuel Wilson: Yes. Yes.
Ryan Koontz: Yes. Thanks. That's helpful. And on your comment on North America VARs, are you seeing increased kind of engagement on the contact center arena from these VARs? Or do you have to really change out to a new set of ours to drive that business?
Samuel Wilson: No, no. We see them very interested in the contact center side of the house and we're adding new VARs. We're actively bidding on a number of VAR. RFPs that are out there and recruiting new VARs in general. I think this actually plays or in the earlier answer around Microsoft, it plays into contact center and I think that Holy Grail of our community is really starting to open up.
Ryan Koontz: Got it. Thanks for the color.
Samuel Wilson: Thank you.
Operator: Our next question comes from William Power with Baird. Your line is open.
William Power: Okay. Great. Thanks. I guess a couple if I can squeeze in here. Sam, you just touched on this actually a bit. But on the CPaaS business, I think you noted upside in the quarter. I think you just indicated there was some go-to-market improvement. But anything else there that you'd point to that really drove the better performance? And I guess even more importantly, the confidence we going forward those improvements stick.
Samuel Wilson: Well, I mean I'd be remiss. I mean the guy we hired and I won't mention his name, because it'll probably get inbound recruiting calls, has done a phenomenal job. And so leadership matters and leadership matters right? On top of that we've announced new products. We've improved and streamlined our go-to-market activity. So as the company grew, its go-to-market activities need to synchronize with what it was doing. Yes, we can speak kindly enough about OmniShield and the new products and innovation we're driving. We've launched a new platform over the last year. So, our stability our availability, our dynamic routing capabilities on our platform absolutely phenomenal. And we've been in the box because of those capabilities. By the way because of that omnichannel and because of the platform capabilities, we're in the box for just some super large CPaaS deals. I don't know if we're going to win them. They're certainly not in the financial model but we're planning the big leagues in CPaaS in Southeast Asia.
William Power: Okay. No. Great to see the improvement there. And I guess second question would be around teams, which I know it's been a positive area for some time. Maybe just any other color you can share on trends, seat growth and kind of what you're seeing competitively from others that are trying to go after that base of user too.
Samuel Wilson: So, keep me kicking in to the table, I'm sliding away from her to tell you we just passed 400,000 seats of Microsoft teams is in the slide, sorry, we got over 400,000 seats of Microsoft teams. I think we're growing still...
Kevin Kraus: By 67%.
Samuel Wilson: 67% year-over-year. So those are all -- like those are the -- we have the quantitative stuff. Here's what I'm most proud of to be fair. So Microsoft, I got a chance to see Microsoft's partner slides. I think they presented in June. And we were listed as a strong partner of Microsoft versus our competitors which were all listed as Microsoft competitors. So I am very happy with our relationship with our relationship with Microsoft. And I wish them nothing but the best of luck every day of the week.
William Power: Yeah. Sounds great. Thanks.
Operator: Our next question comes from Matthew VanVliet with BTIG. Your line is open.
Matthew VanVliet: Thanks for taking the question. Maybe I'll ask one in the interest of time here. But, Sam you talked about a number of years until the contact center may or may not be fully automated. And so maybe more importantly, what are your customers' sort of goals over the next couple of years in terms of whether it's called deflection or at least reduced time of the agent on the phone what's realistic? What are the customers asking you to do? And then as you wrap that all together, how additive versus moving revenue from one pocket to the other can that be over the next couple of years as you embark on some of those goals for your customers?
Samuel Wilson: All right. So that's a great question. Like when I talk to contact center leaders and Lisa chime in any time you want here. I think what I hear is like it be great if we could get overall like a 20%, 30% case deflection type of number to get the run-of-the-mill cases the simple use cases out of the system. Number two is we improve mean time to resolution through things like agent assist. And number three, three is -- and -- the Street never talks about this, but it's such a day-to-day activity and a context on a leader is get attrition down. Almost every contact center leader I talk to deals with attrition at 40% to 50%. And through things like bots and agent assist and health scoring and those kinds of things if they can make the job better and bring attrition down, I mean, I don't think anyone on this call can imagine what it's like to literally turn over almost your entire workforce every other year. That would just be winding in terms of trying to improve customer satisfaction and those kinds of things. And so to me the big three are case deflection, mean time to resolution and agent attrition. Okay. And then what does it mean for us in terms of revenue a lot more revenue and a lot higher retention rates, which means a lot more revenue, right? We generate more revenue. And we know for example when we sell and these are rough numbers I'm not going to get -- but like when we sell one product to a customer we have a mid-80s type of retention rate given our small business base. We sell two products low 90s three products, mid-90s four more products, five 90s right? And so as a recurring revenue model the more products we sell the higher our retention rates and the higher dollars of revenue we generate not magic every large software company Oracle, Salesforce, Microsoft, et cetera does this. We're just at the point given our size to start to transition to that portfolio of products that allows us to sell more and more and get sticker and ticket.
Matthew VanVliet: Great. Thank you. Very helpful.
Samuel Wilson : Thank you.
Operator: I'm not showing any further questions. I'd like to turn the call back to Sam Wilson for any closing remarks.
Samuel Wilson : Thank you so much. I really appreciate it. To everyone out there we remain confident in our future. We have all the building blocks in place to achieve our long-term objectives. We saw early indications of success in our results this quarter as our adoption of new products increased. I just want to sort of reiterate transitions don't happen overnight. But what the market we address is huge, we're coming at it from a position of strength. We have an installed base that loves us and the products we're launching. We have a terrific contact center platform that can enable next-generation AI technologies. For Kevin's sake, I mentioned, we're very cash flow positive and profitable, and we're driving a return of money to investors. And lastly, I think most importantly for everybody on this call, I feel like we have the right team in place to drive this business to the next level. So thank you for your time today. Thank you to all the employees that are listening to this. Thank you to all the partners and customers that listen to this. And I look forward to talking to you again in three months. Thank you.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.